Operator: Good day, everyone, and welcome to the FedEx Corporation Third Quarter Fiscal Year 2012 Earnings Conference Call. Today's call is being recorded. At this time, I will turn the call over to Mickey Foster, Vice President of Investor Relations for FedEx Corporation. Please go ahead, sir. 
Mickey Foster: Good morning, and welcome to FedEx Corporation's Third Quarter Earnings Conference Call. I'm happy to announce that we are holding an investor meeting here in Memphis, so please save Tuesday and Wednesday, October 9 and 10, 2012, on your calendar. We will have more details about the meeting for you in the next few months. The third quarter earnings release and our statistical book are on our website at fedex.com. This call is being broadcast from our website and the replay and podcast download will be available for approximately one year. Joining us on the call today are members of the media. [Operator Instructions].
 I want to remind all listeners that FedEx Corporation desires to take advantage of the Safe Harbor provisions of the Private Securities and Litigation Reform Act. Certain statements in this conference call may be considered forward-looking statements within the meaning of the act. Such forward-looking statements are subject to risks, uncertainties and other factors, which could cause actual results to differ materially from those expressed or implied by such forward-looking statements. For additional information on those factors, please refer to our press releases and filings with the SEC. 
 In our earnings release, we include certain non-GAAP financial measures which we may discuss on this call. Please refer to the release available on our website for a further discussion of these measures and a reconciliation of them to the most directly comparable GAAP measures. To the extent we disclose any other non-GAAP financial measures on this call, please refer to the Investor Relations portion of our website at fedex.com for a reconciliation of such measures to the most directly comparable GAAP measures. 
 Joining us on the call today are Fred Smith, Chairman, President and CEO; Alan Graf, the Executive Vice President and CFO; Mike Glenn, President and CEO of FedEx Services; Chris Richards, Executive Vice President, General Counsel and Secretary; Rob Carter, Executive Vice President, FedEx Information Services and CIO; Dave Bronczek, President and CEO of FedEx Express; Dave Rebholz, President and CEO of FedEx Ground; and Bill Logue, President and CEO of FedEx Freight. And now our Chairman, Fred Smith, will share his views on the quarter. 
Frederick Smith: Thank you, Mickey, and welcome everyone to the discussion of our strong operating and financial results for the third fiscal quarter of '12. First and foremost, I'd like to thank hundreds of thousands of FedEx team members around the world whose efforts led FedEx to be ranked #6 among the world's most admired companies as determined by Fortune Magazine and its research partner, Hay Group. FedEx has been recognized as among the most admired companies for 12 years and it's an extraordinary feat not achieved without each member's commitment to our Purple Promise, our pledge to make every FedEx experience outstanding. 
 I'd like to make a couple of points relative to the competitive landscape in Europe right off the bat. Now over the years, there have been lots of rumors regarding possible acquisition candidates for TNT that have surfaced periodically, and we have consistently declined to comment on them. Our policy in this regard about corporate development activities remains unchanged. 
 I'd like to make a second point, and that is that FedEx Express has a profitable multibillion-dollar business in Europe and it is growing strongly. And I'm extremely pleased with our operations there and we're very confident in our plans to continue expansion, primarily through organic growth. We believe these plans will continue to improve our competitiveness in Europe and further contribute to profitable international growth, and Dave Bronczek will have some more comments about that. 
 Now I'd like to remind you of the new system we put in place on the last call. We put our earnings release out a half an hour early. It speaks for itself, so my comments have been shortened because you've got more chance to look at the release and we will start our comments with Mike Glenn giving you our economic outlook. And then he'll turn it over to Alan Graf, who will put more color on the numbers. Mike? 
T. Glenn: Thank you, Fred, and good morning. FedEx expects moderate but below trend growth to continue in the U.S. and globally. We expect calendar year '12 U.S. GDP growth to be 2.1% and industrial production growth to be 3.9%. Our GDP outlook is slightly below the blue chip consensus of 2.3% noted in the March 10 release. 
 For calendar year '13, we expect GDP growth at 2.4% versus the consensus of 2.6%. We do expect inventory replenishment and business investment to lead growth in the next few months, and improvement in the job market should support a housing turnaround later this year. 
 Our calendar year world GDP forecast calls for 2.3% growth. We're forecasting a 1.1% GDP growth in developed countries and 5.2% growth in emerging markets. This forecast reflects a slight downgrade since our last earnings call, mostly based on the assumption of a mild recession in the Eurozone this year. Stability in the global oil market remains a macro risk factor. 
 Turning to yields, one of our primary focus areas, the sales revenue management and marketing teams continue to do an excellent job in this area. Excluding fuel, Domestic Express yields increased 6%. Rate and discount and permanent product mix were the primary drivers for the increase. International Priority yield, excluding the impact of fuel, increased about 1.5%, driven by base rate and discount changes, as well as product mix. Ground yields, excluding fuel, increased just under 6%. Rate and discount improvement and extra service fees, as well as primary product mix changes were the primary drivers for the increase. And in the LTL sector, our FedEx Freight yields increased 2%. Again, rate discount and surcharge management were the primary drivers. 
 Now I'd like to turn it over to Alan Graf for his comments. 
Alan Graf: Thank you, Mike, and good morning, everyone. Strong earnings growth at Ground and our ongoing yield management programs at all of our transportation segments drove improved results for the third quarter. Our adjusted earnings per share was $1.55, which excludes a $0.10 per share legal reserve reversal. Earnings exceeded our guidance of $1.25 to $1.45 this quarter primarily due to better-than-expected Ground results and a lower-than-expected effective tax rate of 34.1% for Q3, primarily due to a favorable onetime tax audit closure for our fiscal years 2007 through 2009. Revenues increased 9% to $10.6 billion from yield increases across all of our transportation segments, as Mike discussed. 
 Now let's look at the segment detail. At our Ground segment, revenues and operating income increased from increased yields and strong demand for FedEx Home Delivery and FedEx SmartPost services. Revenues increased 14% to $2.5 billion due to yield and volume growth at both Ground and SmartPost. Ground's operating margins climbed to 18.8%, as operating income soared 43% to $465 million, primarily due to 8% growth in revenue per package and 5% growth in volume. Ground's spectacular results continue to be driven by the unmatched value proposition of our network, as Ground provides faster service for 25% of the lanes served versus our primary competitor. 
 Turning to Freight, despite a $1 million operating loss, the results from our Freight segment improved significantly due to base yield growth and ongoing improvements and operational efficiencies. Freight revenues increased 10% to $1.2 billion as a result of higher LTL yield and weight per LTL shipment. Meanwhile, our average daily LTL shipments increased 2%, reflecting sequential improvement during the quarter, as well as favorable comparisons caused by severe winter weather last year. While we were pleased with the progress Freight is making, we still have work to do to optimize the network, including improving the mix of traffic and further strengthening yields. 
 At Express, our operating income of $349 million included the reversal of a legal reserve of $66 million associated with the ATA Airlines lawsuit, that was initially recorded in Q2 of FY '11, as we won the case on appeal. Also, a significant net benefit from the timing lag that exists between when fuel prices change and when index fuel surcharges automatically adjust, despite our overall higher fuel costs in the quarter. A mild winter compared to the severe winter last year also helped the quarter. Revenues increased 8% to $6.5 billion, primarily due to an increase in U.S. domestic and IP package yields, partially offset by decreases of 4% for U.S. domestic package volume and 1% for IP package volume. We are evaluating actions to adjust our FedEx U.S. domestic network capacity and improve efficiency, and Dave Bronczek will have more to say on that later. 
 Turning to our outlook, we are expecting earnings per share of $1.75 to $2 per diluted share for the fourth quarter, and an adjusted $6.35 to $6.60 per diluted share for fiscal 2012. This guidance excludes the ATA legal reserve reversal and assumes the current market outlook for fuel prices, most notably jet fuel, with moderate growth from the global economy, as Mike described earlier. We expect strong yields across all of our segments to support corporate-wide revenue and earnings growth in Q4. Our cash flow from operating activities remains solid and increased by $560 million for the first 9 months of FY '12, despite significant higher pension contributions year-to-date of $710 million. 
 I would like to thank all of our team members for their dedication to the Purple Promise and hard work during our peak season. And now we will open up the call for questions. 
Operator: [Operator Instructions] We'll take our first question from Tom Wadewitz with JPMorgan. 
Thomas Wadewitz: Wanted to get a sense if you could give us some comments on demand within the businesses. I know Mike gave us the economic forecast. But if I look at what you reported, I think the Domestic Express volumes down 4.5% was a bit weaker than I would have expected given what seems to be modest economic growth. So I wonder if you could comment a bit broadly looking forward how do you think that trend changes against a moderate economic backdrop. And then in terms of Asia outbound, I think the comparisons get a little bit easy for you a little later, maybe the heavy weight comparisons are kind of easy in, let's say, April, but what's your outlook for Asia outbound as well? 
T. Glenn: Tom, Mike Glenn here. Let me comment on the Domestic Express part of it and then I'll turn it over to Dave Bronczek to comment on Asia. In the U.S. Domestic Express business, traffic in several of the sectors was weaker on a year-over-year basis. Specifically, the tech sector was a bit weaker, primarily driven by lower volume from the major cell phone companies versus last year. In addition to that, we had some intentional mode shift in that segment to try to get product in the right network to allow us to be more efficient and meet the needs of their customers, while providing a terrific value proposition for them and enhancing the opportunity for us as part of our yield improvement strategy. So that was part of it in the tech sector. Secondarily, economic conditions in the finance, insurance and real estate segment, where we have a heavy presence, we saw traffic down year-over-year there primarily due to economic activity. We did see some competitive losses as part of our yield improvement strategy, although they were significantly less than our expectations and what we had planned for. So we were very pleased with our ability to execute our yield improvement strategy within the parameters that we had set for volume impact. So the combination of all of those things were the primary drivers. And again, I mean, a consistent theme there is just the economic activity and a lot of our customers being very conservative in their supply chains. And I'll turn it over to Dave to comment on Asia. 
David Bronczek: Okay. Thanks, Mike. Thanks, Tom, for the question. We’ve actually been outperforming the marketplace in Asia Pacific for many quarters now, in general. And I have to say that post Chinese New Year’s, we've actually seen more strengthening out of Asia Pacific than we had prior to going into Chinese New Year’s. I should also add that on a sequential quarter-over-quarter basis, and you can look at the numbers from the last several quarters, we've improved from negative 4% in Q1 to negative 3% to negative 1%. And we're showing some strengthening going into the fourth quarter. We are actually seeing some mixed change, however, as well, very much like the United States from priority to deferred. And some traffic is actually from consumer electronics moving into our FTN, FedEx Trade Networks, system that's actually going on the ocean. So I would say there's an overall modest increasing demand for services in Asia Pacific right now. 
Operator: We'll take our next question from Justin Yagerman with Deutsche Bank. 
Robert Salmon: It's Rob Salmon on for Justin. Could you guys elaborate a little bit on the U.S. domestic capacity -- the plans to improve the capacity and network efficiency within the U.S.? What sort of cost savings should we be thinking about? How does this impact your capital plan looking forward? And what types of network efficiency improvements do you think you can drive? 
David Bronczek: Let me start off and then I'll turn it over to Fred. Just on the high-level efficiency that we talked about in the press release that we've been looking at and working on for several months, on a year-over-year basis, through attrition at FedEx Express, we've actually decreased our FTEs by 3,500 FTEs. We have more attrition that we're looking at right now to consolidate more routes, looking at the linehaul efficiencies. So we have more room and we're looking at it based on where our volume is. And we actually had planned a little bit higher volume to be more efficient and more productive and more profitable. Fred? 
Frederick Smith: Well, as it applies to the CapEx, as you know, last fall we announced a transaction with Boeing, where we purchased some new 767 airplanes to replace the MD-10s over time. The 767 is actually a bit smaller than the MD-10 and it is enormously more efficient, and it has a significant improvement in profit effect on the Express network. And at the same time that we did that, we pushed off a number of the long-range intercontinental airplanes based on the lower demand that began to be obvious beginning last summer. So the capital expenditures being made in Express will do exactly what you're talking about, will help improve margins and productivity there. Alan, you want to comment on that? 
Alan Graf: Yes. I will also add that we have been and will continue to be reducing flight hours, just as we always do. We'll take some planes and put them in the desert until economic conditions improve. And we'll be looking at that program as well going forward. 
Operator: We'll take our next question from Art Hatfield with Morgan Keegan. 
Art Hatfield: Just to kind of follow up on some of this talk about the network. The comments about the domestic network, is that purely a cyclical issue or do you see that as being more potentially a secular issue in that improvements in the efficiency of the Ground network and customers relying more on Ground as opposed to Air Express in the U.S. is driving some of the changes in the network domestically? 
T. Glenn: Art, this is Mike Glenn, and I think it's a combination of both. Clearly, we've got some depressed volumes due to economic activity. But I want to highlight something that I've been saying for a long time, in that there are 3 significant fundamental issues that we need to recognize. One is the globalization of trade and how customers are refining their supply chain network as opposed to bringing product into bulk and bulk into the U.S. and putting it in warehouses and then shipping it out as a domestic transaction. It is now being shipped from point of manufacturer to point of consumption, so that gets counted as an International transaction. Which is why you constantly hear us referring to the Express network as a global network and not Domestic versus International. Secondarily, there's clearly some reasonable substitution when it makes sense for customers to use our very efficient and industry-leading Ground service. And they are making decisions on how to configure distribution centers to take advantage of that service, so there's clearly some of that. I referenced that in my earlier comments this morning. And then finally, you have electronic transmission of documents. So those 3 fundamentals are also at play here, but I think the underlying issue that we're speaking to this morning is the below-trend growth that I referred to earlier. 
Operator: We'll take our next question from Nate Brochmann with William Blair. 
Nathan Brochmann: I want to talk a little bit more on the International Freight lane just to explore a little bit more on Tom's previous question. In terms of, obviously, there's some big tech product launches kind of coming up and current. Wondering what the outlook is for that. And also, we keep talking about kind of the low inventory levels that are out there and you guys commented a little bit about looking for uptick there. Just if you could expand a little bit more on those comments. 
David Bronczek: I'll go ahead and start. This is Dave Bronczek. First of all, let me say, and I didn't probably stress it enough, we have another network in the International business, it's our FedEx Trade Networks that handles freight forwarding and ocean traffic. And a lot of these big consumer electronic companies that you're referring to are looking through the inventory and the visibility that we provide across the board. So they have been able to pick a network that better services their needs. And so even though some of it may not be IP or IPD, International Priority Distribution, it could go on the ships. We're still getting that traffic and we are seeing a pickup in that area. 
Alan Graf: This is Alan. Don't forget, over time, the trend in inventories continues to decline because companies like FedEx are engineering companies’ operations and supply chains to allow them to do that and still be able to meet consumer demand. 
Operator: We'll take our next question from Donald Broughton with Avondale Partners. 
Donald Broughton: I understand there's a fairly high degree of seasonality to the Freight earnings by both fluctuations in volume and weather, but this was a very mild winter and Freight volumes were up. What else contributed to the swing sequentially from a $40 million earnings last quarter to a $1 million loss in the Freight division? 
William Logue: Donald, this is Bill. First of all, we are very pleased with our year-over-year improvement of a $66 million increase. Again, revenue up 10%. Yield, 6% improvement overall, which is a good thing for our business. Again, volume 2%. We got into a -- in December volume with the falloff after the holiday season. And then, as Alan said, sequentially, we improved through the quarter. And again, Q3 is always our most challenging quarter, setting us up for a very strong Q4, our strongest quarter. And I will say the sequential improvement continues, which is a good thing for us going forward. 
Operator: We'll take our next question from David Ross with Stifel, Nicolaus. 
David Ross: Bill, just to follow up on Donald's Freight question, have you thought about readjusting the fuel surcharge index? FedEx Freight took their surcharge much lower than the competition a few years ago but nobody really seemed to follow. I don't know if that was hurting you with the rising fuel prices. Also, I didn't know when you were going to end the difference in priority and economy shipments because for regional LTL Freight, that really makes no sense and I think it might be confusing to some customers. 
T. Glenn: David, this is Mike. I didn't understand, you were breaking up on the second part of the question. So I'm not sure I caught that. 
David Ross: Yes. That was just the difference in the priority economy shipments at FedEx Freight. There really should be no difference in the regional, so I didn't know if it made sense to back off of that because for long haul, it certainly makes sense to have priority and economy where you can put some intermodal and it's a cheaper, slower solution, but if it's going from Baltimore to Philadelphia, it needs to be there tomorrow or it's going to be more expensive to haul. 
William Logue: This is Bill. Again, good question. And again, as we build the new design of the network, the priority, economy, putting choice in all lengths of haul, which is one of the value-adds of the new proposition. And interesting enough, I mean, the customers are picking choice in all lengths of haul, whether it be short haul or long haul, which again shows the value prop we have out there of allowing the customers to be able to interface with one LTL carrier. They have multiple options across all lengths of haul. And again, we are seeing a nice uptick in the dual users where we have customers that before, who are either using FedEx International or FedEx Freight, now using both, which again was one of the objectives behind the new initiatives. So we're very pleased with where it's going. And again, our objective in the future is to continue to work to make sure that we are efficient in every length of haul no matter what the customer chooses, whether it be priority or economy. And again the choice the customers are coming across with is there. So we're very excited with that. 
T. Glenn: Let me respond to your question regarding fuel surcharge. FedEx evaluates our fuel surcharge for all services on an annual basis and we typically make any adjustments that we deem necessary when we make general rate increase announcements. So that's an ongoing thing for us and not only for Freight and LTL, but for all services. 
Alan Graf: I want to go back and correct -- Donald made a statement that was incorrect about Freight's performance last year. Freight's performance last year was a loss of $110 million, of which 43% was a onetime. There was not a profit in Freight a year ago. 
Frederick Smith: I think he was talking about the second fiscal quarter. 
Alan Graf: As far as the second quarter, that would be our normal seasonality. So significant improvement is my point. 
Frederick Smith: This is Fred Smith. Let me speak specifically to the question about why we have priority and economy in all length of haul in the newly reengineered Freight network. The delta in pricing is smaller in the regional area as opposed to the long haul, but the reason that we have both priority and economy is that it gives us the ability, if we need to, to roll the economy shipment and operate with higher load factors. So the customer gets a choice. We can give them absolutely, positively overnight service in the regional markets for the 2-day lanes or if they're willing to take the chance that it's a shipment that will be delivered a day later, it allows us then to manage load factors. It's very similar to the way we operate in the Express network. We've been doing it for years. Nobody's ever done it in the LTL business. And based on the strength of the demand for FedEx Freight at the moment, I think it's very obvious the customers really like having this option. 
Operator: We'll take our next question from Kevin Sterling with BB&T Capital Markets. 
Kevin Sterling: A lot of talk about the domestic air capacity. How should we think about your International air fleet. Do you feel that fleet is right-sized now? I know you talked about you saw pickup post Chinese New Year. 
David Bronczek: Well, we have the flexibility in our International side to add, and we talked about this every quarter. The extra sections that we talk about to add more or to take them away. And as Alan pointed out, we have, across the board, less fuel usage partly because of International and partly because of the U.S. But we've actually been, in this quarter, we pulled those extra sections down, didn't need to fly them. Now going forward right now, we have some backlogs, as Fred just pointed out, for Freight that we're looking at putting some extra sections in and increase the flying. So we have a lot of flexibility to move it up and down, depending on how the traffic moves. There is a little bit of a move to more deferred like the U.S. and International at the moment, so we're watching it very carefully. 
Operator: We'll take our next question from Jason Seidl with Dahlman Rose. 
Jason Seidl: I just wanted to concentrate a little bit on the margin side, both Express and Ground. And on the Ground side it continues to impress, I just want to see how much more room you think you have going forward? And on the Express side, as you continue to right-size the network, particularly here in the U.S., how far out does that push sort of the goal to get towards 10%? 
David Bronczek: Let me start off and pass it off to my colleague and good friend, Dave Rebholz. But on the Express side, we're obviously looking at all of our opportunities that we have in the International and the U.S., so it's not just an International issue. We have actually -- in this quarter, we've had a couple of issues that came up that were different for us. The acquisitions of India and Mexico hurt us a little bit there. We've had some depreciation with the 777s, for example. Some of the volume that we had planned that we didn't get, all that being said, we're looking at the linehaul efficiencies we have room there on flight hours and fuel usage in our trucking and so forth. And on the headcount, we have quite a lot of room, even through an attrition program. So we have a lot of opportunities in both the U.S. and International. 
David Rebholz: As far as Ground goes, I think I've mentioned it once before, but I have a challenge from my boss that I have to get to 20%, God love him. We are going to meet that goal. Having said that, there will be different inflection points where we will assume some additional cost. Example, you can't grow at this rate and not upsize your capital. We've been staying around the $450 million, $460 million range a year. We've got to put in some extra hubs. We want to be able to handle it with the same level of excellence that allows Mike and his team to be able to sell the product as competitively differentiated from our primary competitor. Having said that, I think there's plenty of runway and we are very focused on that. And I'm very encouraged by both our growth, our customers, commentaries to me and the way we're working with them to help them lower their costs and improve our margins. And as Mike said earlier, yield is a critical component to our future. So we're going to stay the course and I think we're going to do better. 
Operator: We'll take our next question from Ben Hartford with Robert W. Baird. 
Benjamin Hartford: Dave Bronczek, I was wondering if you could give a little bit more color on the Express margins. Just looking at the MRL [ph] line as a percent of revenue, as low as it's been in a decade, how much of that is a more efficient fleet? How much of that might be temporary because of favorable winter weather and whatnot? Can we talk a little bit about how sustainable MRL [ph] expenses are at these levels? 
David Bronczek: Well, you're right, we did actually improve our margins this quarter over last year's third quarter. Some of it is the weather, some of it is timing for fuel, some of it is reduction in the attrition and some of it is the linehaul, and some of it is the fuel usage. But it's across-the-board. We're looking at all of those opportunities both here in the U.S. and International to make sure our networks are right-sized for the amount of volume and yields for the profitability going forward. So very good question and we're on top of all of those issues. 
Alan Graf: This is Alan. I don't want it to be lost on anyone, how good the productivity and cost management Express has been. With volumes down and margins up, we have a lot of opportunity going forward. 
Frederick Smith: This is Fred Smith. Let me put this in a broader context because I think it's important given that some of the questions have been answered. Over the last couple of years, we've consistently said that FedEx believes we can improve margins, improve cash flows, improve returns, and we've done all of that. We don't look at it quite in the same way that you do on these earnings calls. We look at it as FedEx Corporation. So when we put our business plan together and Express puts its plan together, for instance, based on the expectations of intercontinental volume, and that volume’s a bit weaker than we anticipated, our motivation to pull down capacity is less when we have great performance over at Ground so we can keep the capacity up and try to take market share. If that weren't the case, we would probably be managing a little bit differently. So we look at it as a portfolio and not individual silos and individual businesses, where we're compelled to try to maximize every quarter. And in the case of Express, there are very long lead time constraints in Express that require us to manage the capacity on more of a quarterly basis than on a monthly basis. There are pilot deadlines, there's customer expectations. At the last earnings call, I talked a bit about some of the structural changes that have gone on in the intercontinental business over the last few years because of the price of fuel, the price of wages in Asia, the problems in Europe and the low growth in the United States. And things are considerably different now than they were just a couple of years ago. So it's important to understand that we are very convinced that in all of our 3 major transport reportable segments that we can achieve double-digit margins. And that as a corporation, we can continue to improve earnings, improve margins, improve cash flows and improve returns. But we may not do it the way some of the folks on this call would like to do where we can say, well, we're going to have just a great quarter in every segment because we're managing it as a portfolio. 
Operator: We'll take our next question from Bill Greene with Morgan Stanley. 
William Greene: Alan, I'm hoping to get a little more color from you on the guidance. If we look at the fourth quarter guidance seasonally, so you look sort of sequentially versus the third quarter, it looks a little bit light than what you might think versus the normal sequential change. Now I'm sure some of that's weather, but you've also had in some of your commentary here that you're seeing below trend growth. Can you sort of break out a little bit about how much of weather versus how much of below-trend growth drives the guidance in the fourth quarter? 
Alan Graf: Well, I think the fourth quarter is still very good. But what we're seeing at the moment, as Mike Glenn started off the call with, is that we just don't have a strong as an economy as we had hoped it would be a year ago. And I was hoping that we would have record earnings this year. And while that still would be at the very high end of that range with a little bit stretch above it, frankly, the economic environment and the elasticity that we're seeing on our Premium Services from the high fuel costs are dampening the fourth quarter a bit. It's still going to be a very good quarter, and I think we'll go into the year with -- next fiscal year with a lot of momentum. So that's really the answer. 
Operator: We'll take our next question from Brandon Oglenski with Barclays Capital. 
Brandon Oglenski: Well, maybe following off of that answer, Alan. When we think about higher fuel prices, and maybe that's impacting Express a bit more into the fourth quarter, how are you going to offset that in the Ground segment because it looks like you're getting very good results in the higher fuel environment in that segment? 
Alan Graf: Well, again, I think, as I mentioned, Ground is such an unbelievably great value proposition versus the competitive offering. And there's a lot of managed trade-down, if you will, from the Express network to the Ground network, where we can reduce the CapEx over time at Express and increase it over time at Ground, which has a higher ROIC, which is the objective that Fred outlined for you. I think we will continue do that. Obviously, on a lower base and diesel fuel, the impact of the fuel surcharge is significantly less at Ground that it is at Express. 
Operator: We'll take our next question from Keith Schoonmaker with MorningStar. 
Keith Schoonmaker: This is a related question. I appreciate Mr. Smith's comments on viewing the results as a consolidated FedEx Corp. Wanted to ask about the effective mix. The margin in Ground is impressive, to state the obvious, and with Ground lanes so fast now, the lower price per package, can you please comment on the net effects of customer switching modes? I guess greater parcel, then you see benefits in either operation and it's tempting to think of putting volume in higher-margin operation to be accretive. But if FedEx has relatively higher fixed cost, as we think of the full suite, can you explain how we view shifts from Express to Ground? 
T. Glenn: This is Mike Glenn. Our sales team works with customers on a regular basis to ensure that we put the best, very best value proposition in front of them that takes advantage of the broad range of services that we have. I wouldn't get too fixated on mode shift as an issue here. It certainly has an impact. We work with customers, specifically as it relates to mode shift when it's to a mutually beneficial outcome, and that's key in terms of how we approach it. Obviously, it doesn't make a lot of sense for us to shift volume out of Express into Ground when it doesn't benefit the customer and it doesn't benefit FedEx Corporation, as Fred noted earlier. So Alan used the word managed, and I think that's the key word in this discussion is managing mode optimization, if you will, to increase the value for the customer and, frankly, FedEx Corporation. So that's how we approach that. And so we view that, when it's done correctly and our sales team does a great job of that, as a benefit for FedEx Corporation. 
Operator: We'll take our next question from Christian Wetherbee with Citi. 
Seth Lowry: This is Seth Lowry in for Chris. I was wondering if you could give us an update on how things were trending in IP quarter-to-date? And could we see that ultimately turn positive if things go as expected for the rest of the quarter economically? 
T. Glenn: I apologize. I must have covered that too quickly, because I covered that off early in my comments. But let me give it to you again. Sequentially, from Q1, and you can look back at our statistics, we were negative 4% on IP, which includes IP, IPD, IE, IEF. Q2 was negative 3%, Q3 is negative 1% and we are seeing strengthening going into Q4. I should add that we actually are picking up traffic into another mode of transportation that we have, is also FTN. But some of the IPD in the past would move to that and go on the ocean. So I guess across the board, we would have a sequentially improving IP trends. 
Operator: We'll take our next question from Jeff Kauffman with Sterne Agee. 
Jeffrey Kauffman: A lot of my questions have been answered, so a question for Mike and Dave. In terms of your changed economic outlook, could you break that down a little bit in terms of what the change was in your European outlook versus your Asian outlook versus your domestic U.S. outlook? 
T. Glenn: Let me take a look here and just get the numbers in front of me for a second, Jeff. The forecast for Europe, EMEA specifically, for calendar year '12 is 0.7% GDP growth; for euro land, it's a negative 0.4%. For calendar '13, it's 0.9% for euro land and 2% for EMEA. 
David Bronczek: And the only additional color that I'll give you for EMEA, and I know we don't break this out is that, as Fred pointed out, it's a growing and profitable region of the world for us and it continues to be so. 
Operator: We'll take our next question from Scott Group with Wolfe Trahan. 
Scott Group: So I wanted to just ask another one on some of the assumptions for 4Q. What's the fuel lag that you're expecting in the coming quarter versus what you saw in the third quarter? And then kind of with that on the IP side, normally, when we think about IP volumes inflecting positive, we think about a lot of operating leverage. Does that story change a little bit at all now that there's some mix changes away from priority to more of a deferred product? 
Alan Graf: I'll take the first one. This is Alan. Versus last year, I think in the fourth quarter, we'll have a benefit from the fuel lag versus the fuel -- the cost of the fuel versus the surcharge. But with the high fuel prices that are existing, it's going to have a dampening impact on our premium services revenues. So that will probably offset in terms of the results, and that's why I have the range that I have. 
T. Glenn: Yes. And on the IP, I mentioned it a couple of times, but our FedEx Trade Networks group that's very efficient at clearance and brokerage in ocean shipping, some of that deferred traffic that would have, in the past, flown on our super Express Freighters is because of the customers' demand moving to that. So we're still picking up traffic. And probably, over time, become more profitable with it. 
Operator: We'll take our next question from Ken Hoexter with Merrill Lynch. 
Ken Hoexter: Fred, I know you mentioned at the beginning of the call you don't want to speculate or comment on speculation for TNT. But let’s look at what's been announced, and can you give your thoughts on when you heard about the announcement of UPS TNT coming to the agreement? And what you think that does for growth in Europe and how you view the market now? Do you want to increase your presence on the domestic basis there? Do you feel pressure from customers to have that greater product offering than you do? Just give us some thoughts on that. And then for Dave, can you just throw in thoughts on -- your peer pricing was up 6% you mentioned at Express and Ground. Can you talk about the trends there? Do you think that continues to gain some steam in the face of fuel prices? 
Frederick Smith: Well, this is Fred Smith, let me comment briefly and then ask Dave to be more specific about this. Europe's a big part of the FedEx network, as I said in the opening remarks. I mean, we have a multibillion-dollar business there and it's profitable and it's growing and we're expanding the business. Now having said that, there are 2 things that you have to remember about Europe. The first is, as Mike Glenn just mentioned to you, the growth rates in Europe are extremely low. And my personal belief is they're going to continue to be low, as long as the policies being pursued in Europe are the same as the policies that have been pursued over the last 20, 25 years. I think the same thing is true in the United States. And I'm not trying to be political in any statement, we simply don't have policies in place in the U.S. and Europe that are stimulative of GDP growth beyond relatively low levels. So that's one point. The second point that you have to realize about Europe is that, unlike the United States, it's a much more fractionated market. There are domestic markets which are historical there that have a number of competitors. There's the pan-European surface market. There's the pan-European or intra-European air express business and then there's the intercontinental business. We're very strong in the Intercontinental business. We have an excellent intra-European air express network and we have selectively participated in the domestic marketplace. And we have an organic expansion plan inside Europe and I'd like for Dave to comment on that. 
David Bronczek: Thank you, Fred. Yes, this goes back -- for several years now, we've actually been working on more intercontinental flights from Asia to Europe. We've had flights from the U.S. to Dubai into the Middle East. And on the intercontinental side, we've added a lot of connectivity and excellent service, world-class service for our intercontinental business. On the more recent activities, to Fred's point, just in the last 5 months since October, we've opened over 23 stations in Germany, France, Spain, Italy, the Netherlands, Sweden. Across the board, we've added more jet city points to the network inside Europe. We've added 757s in Europe. We're growing, we're profitable, we're adding to the later pickup times that customers really want to connect to the European market and to the global market and much earlier delivery. So we have a really good story. We have a great management team in Europe and we're very optimistic about the forward-looking future. 
Frederick Smith: And we'll talk a lot more about this, for those of you who can come to the October 9 and 10 thing. It's a great story and we've got a terrific management team in Europe. And as Dave mentioned, we've been expanding it at flank speed over the recent past and are going to continue for the foreseeable future to broaden the portfolio that we offer in Europe. As I mentioned, it's a highly fractionated market in Europe. 
T. Glenn: This is Mike Glenn. I'll comment on the yield question that you had. As I stated earlier, I'm extremely proud of the sales revenue management marketing team for their focus on this. We clearly had solid yield performance during the quarter and this is part of a managed program that we have that entails both the change that we made in the dimensional weight surcharge which went into place over a year ago, which we have now lapped, how we manage contract increases and things of that nature. I will say that we are starting to cycle through the contract increases now. As part of that, we were seeking and have been successful in getting above-trend annual rate increases on those contracts in year 1. We would expect to see lower rate increases in years 2 and 3, so that will have some impact on that. We have lapped the dimensional weight surcharge. But let me state again, this will be a major focus item for us. It will be at the top of our priority list. And as I've said earlier, we have been prepared to put some volume at risk in order to achieve our rate increases and our yield improvements. We did see some impact during the quarter, specifically at Express. But as I said earlier, it was well within the parameters that we had set in order to achieve the yield improvements that we were targeting. So I continue to be very pleased with our performance in this regard. We worked very closely with the operating companies to make sure that we are making decisions that not only benefit improving yields, but it benefit the operating company performance. And that will be our modus operandi going forward. 
Operator: Our next question will come from David Vernon with Bernstein. 
David Vernon: Could you talk a little bit more on timing on the Domestic Express network adjustments and how that might impact service and flow-through to momentum on pricing? 
David Bronczek: Well, we actually look at our network all the time. Every week, every month, we've been doing this for years and years, and we have a great portfolio. As Mike Glenn and Fred have talked about, and Alan, where the customers pick the services that they need. And so we work with the customer with our teammates. And so as I mentioned, year-over-year, for example, through attrition, we're down 3,500 FTEs. And so depending on the volume outlooks and the customer demands and how the economy is, we have opportunity to flex up or flex down. And right now, we're looking at it and we've been looking at this for years. 
T. Glenn: We're not going to reduce our service levels. We're going to increase our service levels and we will continue to do that. The trick here is to continue to lower expense, improve productivity while we expand our service capabilities, which are extremely high already. So there will be nothing but service improvements. 
David Vernon: So the changes that you're looking at are incremental as opposed to a network redesign in some fashion? 
David Bronczek: I think we're too early in the stages here to comment any further than we have on that. 
Operator: We'll take our next question from Chris Ceraso with Crédit Suisse. 
Christopher Ceraso: I joined a little bit late, so I apologize if you’ve answered these already. But did you see in the third quarter a notable shift in B2C and did that weigh on your margins in Express? And also on the tax rate, did you comment if it's going to be lower again in Q4 like it was in Q3? 
Alan Graf: Well, the tax rate was -- you were late there, that was -- the third quarter was a settlement of the IRS of our fiscal 2007 and 2009. The fourth quarter tax rate will be 36% to 37%, depending on where our earnings are earned in the quarter. 
T. Glenn: This is Mike Glenn. We did see, and always see, a substantial increase in B2C transactions during the quarter because of the peak season and the significant growth of e-commerce shipping. I should point out, as part of that, we did pass on some growth opportunities, particularly at Express because we didn't feel the yields were compensatory and consistent with our long-term objectives. But we always see an increase in B2C shipping during that quarter because of the holiday season and the increase in B2C. 
Operator: We'll take our next question from John Barnes with RBC Capital Markets. 
John Barnes: Two quick things. Number one, on the Express side, can you just talk about the further headcount reduction? You stated, I think, that you had seen attrition lower for FTEs about 3,500. How much more can that number decline? And then secondly, on the Ground side, just given the volume growth there, and you've obviously fielded a lot of questions about rightsizing the Domestic Express network, is there any need to rightsize the Ground network, namely, do you need further investment there to continue to handle this growth? 
David Bronczek: We just look at our headcount, as we always have, for years and years on an attrition basis and based on the volume and the demand. And we'll continue to do that. 
Operator: Our next question will come from Peter Nesvold with Jefferies & Company. 
H. Nesvold: I'm really just down to housekeeping questions, I guess on fuel, if I can just ask that one briefly. If fuel prices were up year-over-year and we exited the quarter at higher fuel prices than we entered the quarter, it's not clear to me how it's such a big tailwind. Was there some kind of improved productivity because of the warm winter or did you pre-buy fuel? Or how else could that be such a tailwind? 
Alan Graf: It was a tailwind versus last year. It was a restrainer in terms of what it did to the demand for our premium services. 
Operator: And that concludes our question-and-answer session. Now I will turn the call back over to Mickey Foster for any additional or closing remarks. 
Mickey Foster: Thank you for your participation in FedEx Corporation's third quarter earnings release conference call. Please feel free to call anyone on the IR team if you have any additional questions. Thank you very much. Goodbye. 
Operator: Thank you. Ladies and gentlemen, this does conclude today's presentation. You may now disconnect.